Operator: Good afternoon, and welcome to the Edison International Third Quarter 2025 Financial Teleconference. My name is Denise, and I will be your operator today. [Operator Instructions] Today's call is being recorded. I would now like to turn the call over to Mr. Sam Ramraj, Vice President of Investor Relations. Mr. Ramraj, you may begin your conference.
Sam Ramraj: Thank you, Denise, and welcome, everyone. Our speakers today are President and Chief Executive Officer, Pedro Pizarro; and Executive Vice President and Chief Financial Officer, Maria Rigatti. Also on the call are other members of the management team. Materials supporting today's call are available at www.edisoninvestor.com. These include our Form 10-Q, prepared remarks from Pedro and Maria and the teleconference presentation. Tomorrow, we will distribute our regular business update presentation. During this call, we'll make forward-looking statements about the outlook for Edison International and its subsidiaries. Actual results could differ materially from current expectations. Important factors that could cause different results are set forth in our SEC filings. Please read these carefully. The presentation includes certain outlook assumptions as well as reconciliation of non-GAAP measures to the nearest GAAP measure. During the question-and-answer session, please limit yourself to 1 question and 1 follow-up. I will now turn the call over to Pedro.
Pedro Pizarro: Thanks a lot, Sam. Good afternoon, everybody. Today, Edison International reported third quarter core earnings per share of $2.34 compared to $1.51 a year ago. This comparison is not meaningful because during the quarter, SCE recorded a true-up for the 2025 General Rate Case final decision, which is retroactive to January 1. Reflecting the year-to-date performance and our outlook for the remainder of the year, including the costs for potential early refinancing activities later this year, we are narrowing our 2025 core EPS guidance range to $5.95 to $6.20. We have also refreshed our projections through 2028 and are reaffirming our 5% to 7% core EPS growth target. Maria will discuss our guidance and financial performance in more detail. California's legislative session concluded with the passage of SB 254, a constructive and important step to support IOU customers, address wildfire risk and boost the financial stability of the state's investor-owned utilities. The bill passed with near unanimous support, and that's a clear signal that policymakers understand the urgency of the issue and the need for durable solutions. SB 254 creates an up to $18 billion continuation account jointly funded by IOUs and customers to provide a backstop for wildfires ignited after September 19, 2025. Importantly, it enhances the existing framework by basing the liability cap on the year of ignition rather than the year of disallowance, providing certainty for stakeholders. It also allows for the securitization of wildfire claims payments for 2025 wildfires ignited between January 1 and September 19, if the initial wildfire fund is exhausted, which would apply to the Eaton Fire if needed. These provisions are constructive for potential cost recovery and help utilities like SCE continue to invest in safety and reliability while maintaining affordability for customers. We have provided a summary of SB 254 on Page 3. SB 254 calls for an important second phase, a comprehensive report due in April 2026 that will evaluate long-term reforms to equitably socialize the risks and costs of climate-driven natural disasters. The law recognizes that customers and shareholders continuing to bear the burden of these events is unsustainable. This second phase is important to evaluate the broad scope of potential reforms that are necessary for a sustainable model. As you will see on Page 4, the 10 points outlined in SB 254 can be grouped into 3 categories: first, reducing the risk of ignitions and harm from wildfires; second, affording fair compensation for people affected by wildfires, including avoiding disparate treatment of communities. Third, allocating the risk and costs of natural catastrophes across stakeholders equitably. We are encouraged by this direction and by the executive order that Governor Newsom signed on September 30 to expedite the state's all-in response. We look forward to continuing to work with legislators and stakeholders to shape a more sustainable and equitable framework. We are confident that we will see meaningful legislative action next year. Turning to the Eaton Fire. The investigations remain ongoing. As we have said before, SCE is not aware of evidence pointing to another possible source of ignition. Absent additional evidence, SCE believes that it is likely that its equipment could be found to have been associated with the ignition. During the third quarter, SCE entered into a settlement with an insurance claimant agreeing to pay $0.52 for each dollar paid to its policyholders. Note that this is a single data point and does not provide sufficient information to develop an estimate of the total potential losses associated with the Eaton Fire. The Wildfire Fund administrator has confirmed that Eaton is a covered wildfire for the purposes of accessing the fund. Based on the information we have reviewed thus far, we remain confident that SCE would make a good faith showing that its conduct with respect to its transmission facilities in the Eaton Canyon area was consistent with actions of a reasonable utility. That said, we continue to take proactive steps to support community members. Shortly, SCE will launch the wildfire recovery compensation program for the Eaton Fire. This voluntary program is designed to provide eligible individuals and businesses impacted by the fire, direct payments to resolve claims quickly. This allows communities to focus on recovery earlier while minimizing the overall cost and outflows from the Wildfire Fund by reducing escalation, interest expense and legal fees. Moving to the regulatory front. The key message is that we've made significant progress across multiple proceedings this year, further derisking our financial outlook and bolstering our ability to deliver for customers and investors. Earlier this year, the CPUC approved the TKM Settlement, authorizing recovery of approximately $1.6 billion in wildfire-related costs. More recently, SCE reached a settlement agreement with intervenors in the Woolsey fire proceeding as highlighted on Page 5. This marks a significant milestone and puts the company one step closer toward fully resolving the 2017 and 2018 legacy events. The agreement with authorized recovery of approximately $2 billion of the $5.6 billion requested subject to CPUC approval. This structure supports long-term affordability for customers by reducing excess financing costs and improving credit metrics, specifically up to a 90 basis point benefit to FFO to debt and an annualized interest expense benefit of approximately $0.18 per share. Combined with the TKM Settlement, this will result in recovery of 43% or about $3.6 billion of the total cost above insurance and FERC recovery. We anticipate a final decision from the CPUC toward the end of this year or early next year. And assuming CPUC approval, we expect to receive proceeds from securitization mid-2026. Details of both proceedings can be found on Page 6. SCE also received a final decision on its 2025 General Rate Case in September, as highlighted on Page 7. The decision authorizes 2025 base revenue of $9.7 billion and support significant investments in wildfire mitigation, safety and reliability and upgrades for increased load growth while incorporating affordability considerations for customers. It also authorizes average revenue increases of about $500 million per year for 2026 to 2028, subject to adjustment based on inflation. On capital expenditures, the final decision authorizes 91% of SCE's request. Importantly, the commissioners highlighted that these investments in the grid provide long-lasting value to customers, especially given the need to protect against wildfires, advance electrification and ensure a ready, reliable grid for the clean energy future. On wildfire mitigation, SCE has now deployed more than 6,800 miles of covered conductor. I'm pleased to share that by the end of the year, SCE will have hardened nearly 90% or more than 14,000 miles of its total distribution lines in high fire risk areas. The GRC authorizes installing another 1,650 miles of covered conductor for wildfire mitigation as well as 212 miles of targeted undergrounding. Similar to covered conductor, which continues to be an important risk mitigation tool, SCE believes that its targeted undergrounding program will also provide substantial benefits to further safeguard its customers and communities. Public safety power shutoffs remain a critical tool in wildfire prevention. This year's updates include revised criteria and wind speed thresholds, expanded circuit coverage and broader boundaries around high fire risk areas. Additionally, SCE has now enabled fast curve settings on approximately 93% of its 1,100 distribution circuits in high fire risk areas, further reducing ignition risk and improving system safety. As we've shared before, SCE's system average rate continues to be the lowest among the major IOUs in the state. Importantly, the utility expects this will grow at an inflation-like level on average through 2028. Incorporating the GRC approval, TKM Settlement and pending Woolsey settlement, we continue to expect that CAGR to be in the range of 2% to 3%. In closing, I want to thank our team members for their continued dedication and resilience. And I also want to thank our investors for your support and our customers for the opportunity to serve them. This has been a year of meaningful progress on the legislative front, in the regulatory arena and in our operational execution. We've taken important steps to resolve legacy wildfire liabilities, strengthen our financial position and advance the utility's mission to safely deliver reliable, affordable and clean energy. But we also recognize that this has been a challenging time for so many of the communities we serve, particularly those impacted by wildfires. We remain deeply committed to learning from our experiences and supporting recovery and resilience to rebuild stronger. We are grateful for the opportunity to partner with customers, local leaders and other stakeholders to build a safer and more sustainable energy future. Well, we look forward to continuing our dialogue with many of you at the EEI Financial Conference in November. We'll see you there. And with that, Maria, let me turn it over to you for your financial report.
Maria Rigatti: Good afternoon, and thanks, Pedro. I will echo your comments that we have made significant progress across multiple proceedings this year, further derisking our financial outlook and bolstering our ability to deliver for customers and investors. With the GRC final decision in hand, we now have increased certainty and visibility into the work SCE will do to meet customers' needs and have refreshed our projections through 2028. Consequently, we are reaffirming our 5% to 7% core EPS growth target, which I will discuss in detail. Starting with third quarter 2025 results, EIX delivered core EPS of $2.34, up from $1.51 a year ago. The year-over-year variance analysis is on Page 8. As Pedro noted, this comparison is not meaningful because SCE recorded a true-up of approximately $0.55 for the 2025 GRC final decision, which is retroactive to January 1. Based on strong year-to-date performance and our outlook for the rest of the year, we are narrowing our 2025 core EPS guidance to $5.95 to $6.20, as you will see on Page 9. This range now includes the potential for $0.10 per share of costs associated with refinancings tied to the TKM and Woolsey cost recoveries. As previously mentioned, our 2025 guidance does not include the potential earnings associated with the Woolsey settlement. SCE is awaiting a proposed decision on the settlement and a final decision could be issued later this year or early next. We want to be clear that for measuring our core EPS growth through 2028, the 2025 baseline of $5.84 is unchanged from prior disclosure. Now I would like to discuss our refreshed projections, which we have summarized on Page 10. Additionally, on Pages 14 through 17, we put together a comprehensive list of frequently asked questions on guidance-related topics for background and easy reference, which we hope you will find helpful. Please turn to Page 11, which lays out our 4-year capital plan of $28 billion to $29 billion. This compares to our previous forecast for the same period of $27 billion to $32 billion. The plan incorporates substantial investments in infrastructure replacement, electrification and system resiliency approved in SCE's GRC. Additionally, the plan now incorporates the utility's next-gen ERP project and other updates across the business, including Wildfire Mitigation capital that SCE will securitize under SB 254. We also continue to see the need for substantial grid investments beyond our forecast period. We've highlighted on the right side of the page 2 examples of this, with much of that spending occurring beyond 2028. Driven by the capital plan, we project rate base growth of 7% to 8%, as shown on Page 12. This growth is after incorporating the expected Wildfire Mitigation capital expenditures that will not earn an equity return under SB 254. Moving on to our long-term core EPS growth target, as shown on Page 13, we continue to expect 2028 core EPS of $6.74 to $7.14. You will find additional information on this topic on Pages 14 and 15. Our confidence in delivering on our commitments is underpinned by the clarity we have from the GRC and our ability to manage our operations for the benefit of all stakeholders. Let me now turn to our financing strategy and balance sheet strength. Over the last several years, we have executed efficient financing to support our target 15% to 17% FFO to debt framework. We have used hybrid securities to generate equity content when needed, avoiding substantial common equity issuance to prefund our capital plans. By year-end, SCE expects to receive approximately $1.6 billion in securitization proceeds from the TKM settlement. Following Woolsey settlement approval, the utility plans to request a financing order to securitize an additional $2 billion. These actions further strengthen our credit metrics and financing flexibility for funding future rate base and dividend growth. Altogether, this leaves us very well placed among our peers on 2 key credit metrics. EIX has one of the strongest consolidated FFO to debt ratios projected by S&P. Also, we have one of the lowest levels of parent company debt as a percentage of total debt. Page 13 details our 2025 through 2028 financing plan. Let me highlight that this plan does not require any equity issuance. This expectation is supported by the TKM and Woolsey recoveries. Further, as you know, the Wildfire Fund provides reimbursement for claims paid above an IOU's $1 billion of insurance. Additionally, for buyers between January 1 and September 19, 2025, the recently passed SB 254 allows the utility to issue securitized bonds prior to a reasonableness review to fund claims payments should the initial fund be exhausted. While we currently cannot estimate the probable losses associated with the Eaton Fire, the constructive California liquidity and prudency framework means neither equity nor debt would need to be issued in connection with that event. Following the passage of SB 254, the rating agencies issued updates on the company. Moody's affirmed its ratings for both EIX and SCE with a stable outlook. Fitch removed its rating watch negative from both companies, citing SB 254 as a meaningful policy shift. While S&P downgraded EIX and SCE by 1 notch, we believe this view does not fully recognize the legislative intent or commentary from the Governor's office. Importantly, S&P still expects our credit metrics to remain within our target with upside potential from a constructive Woolsey outcome. At the parent company, we are working on how to best address the preferred equity issuances that have upcoming rate resets. We are looking at cost-efficient options for early refinancing, which will bring forward both the costs and the benefits of the transaction. The core benefit is the optimization and clarity of financing costs before the rate reset, which further derisks our financial outlook. We have considered the potential cost of this optimization in our narrowed 2025 core EPS guidance and see the long-term benefits outweighing the near-term costs. I would like to update you on another positive trend we are seeing, load growth. As we have laid out on Page 18, SCE remains well positioned to meet the diverse and accelerating demand across its service area. Our team continues to anticipate significant investments in infrastructure upgrades to meet this growing demand, many of which were included in SCE's recent GRC approval. Importantly, our demand forecast is not reliant on a single sector. For one, SCE is at the heart of California's EV adoption, helping the state maintain its national leadership in transportation electrification. In fact, the state recently announced a record 29% of new cars purchased in Q3 2025 for zero-emission vehicles. We're also expecting growth in new housing developments and increases in commercial and industrial consumption. To sum up, we are expecting a near-term load growth CAGR of up to 3%. In the long-term, we project electricity sales will nearly double over the next 2 decades. I will conclude by saying that the company has made significant progress achieving certainty across numerous regulatory proceedings this year, allowing us to confidently reaffirm our long-term guidance. It underscores our ability to execute on our commitments and deliver for the customers and communities SCE serves and for our investors. That concludes my remarks, and I'll turn it back to Sam.
Sam Ramraj: Denise, please open the call for questions. As a reminder, we request you to limit yourself to one question and one follow-up. So everyone in line has the opportunity to ask questions.
Operator: [Operator Instructions] The first question is coming from Nicholas Campanella with Barclays.
Nicholas Campanella: I just wanted to ask, you brought up the $0.10 for the equity preferred as it relates to the '25 guide. So can you just kind of confirm, is this -- is the $0.10 just a charge for both the '26 and '27 maturities? Or is that still kind of up for debate? And then maybe just expand on what some of your options are for addressing that? Obviously, there's no equity coming to replace this, if I'm reading it correctly.
Maria Rigatti: Sure. Right. So just to recap what you said, we have 2 preferred equity series with a rate reset in March of '26 and then again in March of '27. We issued those back in 2021, and that was to address sort of the claims that we were paying related to TKM and Woolsey. And now that we have the TKM settlement approved and the securitization coming later this year as well as the Woolsey settlement pending approval, which will also be securitized, we're taking a look at all of our options at the holding company. So we are still evaluating the options, but we think that maybe taking some steps earlier rather than waiting for those March '26, March '27 reset dates would be beneficial overall for the company. Any time we do a refinancing, there will be a write-off of deferred transaction costs, et cetera. And so that's what the $0.10 represents. That would happen regardless of whether we do it early or whether we did it at the actual reset date. But the options that we're looking at are pretty broad, and we'll have more to come on that.
Nicholas Campanella: Okay. Okay. I appreciate that. And then I guess as it relates to Eaton, you've launched this kind of recovery compensation program. maybe you can kind of just discuss what the participation level has been in that? And does that allow you to have kind of a view on claims in more of an expedited manner? Is that something that we can maybe expect with the 10-K? And I understand that there's very clear new protections in place from SB 254, which are helpful. But just when do you think that we'll have a low-range estimate for what the liability against the fund would be?
Pedro Pizarro: Yes. Nick, let me jump in here. So we're not quite where you -- I think we are yet. We haven't launched the program yet. We've announced that it's coming. We went through a process of releasing a draft protocol in September and then opening it up to feedback from the community. And so as I said in my remarks, we expect to be able to finalize the program and launch it shortly. And so regarding though, when that might lead or if it might lead to an estimate on losses, first, as you point out, we'll need to see what the participation rate is. I think that there's -- we're doing everything we can, and we have engaged really the world's best outside experts on this, Ken Feinberg and Camille Biros who were, among other things, the architects of the 9/11 fund. So they've been providing great advice on this. We've gotten good input from the community. We're considering a number of potential changes beyond what we had released in draft form. But I do want to make sure I temper expectations. This is -- this will be a long process. And it's only one of the components of potential losses in a complex event like Eaton. So you saw that, I mentioned in my remarks already that we did the 1 SoBro settlement. It was meaningful, but it's only one. And so we're not able to estimate even SoBro losses just from that one data point. And so similarly, we'll have to see what kind of participation rate we get. And at some point, does it become material enough that it maybe allows to start getting our hands around that portion of losses. But of course, there are other kinds of losses in this. So a very long way of saying that we're still kind of where we were last quarter. We don't yet have an estimate of when we'll have an estimate, Nick.
Maria Rigatti: And Nick, maybe just picking up on a couple of the other things you raised. The direct claims program is, of course, a good way to be good stewards of the fund. But you pointed directly to SB 254 protections that were introduced. So building on the protections of AB 1054, there are a couple of things that we think can apply to Eaton and do that in a constructive manner. First, the date at which the liability cap is calculated is the point of ignition. So we know with clarity what the cap is for Eaton, which is approximately $4 billion based on our current rate base. The second piece relates to the securitization that I mentioned earlier for fires that occur between January 1 and the effective date of the legislation to the extent there is a need to go above the fund. And again, we don't know what the estimate is for Eaton. The company can securitize those claims before going in for a reasonableness review with the CPUC. That outcome is good for customers because it minimizes costs and interest expense. It's also good for the utility because it wouldn't need to issue any debt at that point or equity to fund the claims payments.
Operator: The next question comes from Gregg Orrill with UBS.
Gregg Orrill: Thank you for the update on guidance. Just a clarification. Is it -- is there a part within the growth rate range that you feel you're trending toward now, the upper half or the lower half or whatever or maybe things that -- I know you provided some disclosure on what would take you within that range, but any other thoughts on that would be helpful.
Maria Rigatti: So Greg, we are very comfortable and confident in the 5% to 7% EPS growth. Obviously, we run a lot of scenarios when we take a look at that, and there are many variables that can change either because it's a 4-year period or because this is a complex business. I would just say that we did incorporate a lot of new information into our outlook. We have the GRC in hand. We had multiple regulatory proceedings over the past year around recovery of memo accounts that also contribute to capital. We had the TKM settlement. We have the securitization that's coming up. The Woolsey settlement that's pending approval. With all of that, we put that together in the mix. And I think the 3 key takeaways for me are not just reaffirming the 5% to 7% EPS CAGR, but also that we have significantly more clarity around that forecast and we have a stronger balance sheet. So we're still 5% to 7% is where we are, but I think there's a lot more behind that, that is very positive.
Operator: The next question comes from Shahriar Pourreza with Wells Fargo.
Shahriar Pourreza: Pedro, I know there's -- obviously, there's clearly some improvement in the wildfire constructs from Phase 1, even though they kind of kicked the can down the road and some of the key items there. I guess in terms of Phase 2 process, what do you see as viable for limiting EIX's liability? And what will be the data points that you anticipate going into the legislative session? Like is this going to be a public process? Is this going to be a private process? How do we track it?
Pedro Pizarro: Yes. Thanks, Shahriar. Good set of questions. And as I mentioned in my remarks, we are very encouraged by the legislature not only having taken the steps that Maria recapped just now on Phase 1, but setting up this Phase 2 process. It's still being shaped, but the California Earthquake Authority as the lead entity here has been pretty articulated already in some key parts of the process. They've given the time line, right, for submission of abstracts across the various topics, that's November 3, is the deadline for those abstracts. And then they have a deadline of December 12 for the full papers that parties can submit. They have said already that they plan to make all of those submissions, both the abstracts and the papers public as they come in. So I think that's really helpful because it will give really nice transparency to everybody in terms of what various stakeholders are submitting and how they're thinking about things. For our part, we continue to work very closely with our colleagues at the other investor-owned utilities, and we'll also be looking to engage with a broader set of stakeholders as we develop our ideas or compare notes with their ideas. We also understand that CEA will have perhaps still being defined a little bit, but some process for open discussions, meetings, et cetera, between the submission of papers and the April 1 deadline for the final report. It was also encouraging, I touched on this very briefly in my remarks, but it's very encouraging to see Governor Newsom turn to the various agencies with this executive order and essentially give out homework assignments for the expectations on how each agency would be contributing to specific items within the 10 areas that were outlined by SB 254 that I covered in my remarks as well. So it's really nice to see not only the CEA putting out their process, but the Governor then turning to the agencies. And for some of the agencies that he can direct, actually gave them direction for the agencies that are more constitutional where he can only provide advice or suggestions, he suggested focus areas for each of those. We'll see what comes out in the report, although we're encouraged, frankly, by this responsibility, the leadership of it, having placed by SB 254 in the hands of the California Earthquake Authority, very professional entity. They have a solid understanding of broad natural catastrophes and risks, starting with their original mission around earthquake. But as you know, they've been the Wildfire Fund administrator since the inception of the fund through AB 1054 in 2019. So they also have deep experience now in terms of the wildfire topic that gives us a lot of comfort that there's good professional management, and they have the ability and we understand that they're in the process of engaging outside help as well. And then I go a little long-winded here. Hopefully, I won't quite go into 18 innings like the Dodgers. Go Dodgers. But maybe I'll give you one more point on this. As Maria is laughing right now. I wish we had video so you could see her. As we turn to the legislation and the outcome of the report itself, we expect that there's a potential here for taking action across the economy. This is not just about utility connections to wildfire, right? And so everything from reducing the exposure that the state has by -- we would hope to see -- seeing strengthening building codes and standards and frankly, strengthening of the implementation of building codes and standards because today's codes and standards are actually rather strong. But reviewing those and then making sure those are being implemented effectively statewide, reduction in the overall exposure to losses, right, by looking at what are potentially some fair caps and specific kinds of claims or fees involved in the process. And then, of course, looking at how does California equitably allocate the ultimate cost of natural catastrophes like wildfires. It was very encouraging to see the legislature acknowledge right upfront in the preamble of SB 254 that the current process of essentially making utility customers and utility shareholders, the insurers of a catastrophe is simply not sustainable. When you take a horrible heartbreaking fire like Eaton, and we still haven't concluded what happened here, but you heard me say it's likely that the equipment could be found and have been associated. But even if the spark did come indeed from our SCE equipment, the catastrophe was about so much more. The extreme weather, the 100-mile an hour winds, the grounding of firefighting aircraft, the homes that unfortunately were beautiful, great neighborhoods, but we're not ready for this high fire risk, the lack of evacuation notices in areas that covered all but one of the fatalities. So you add all of that up, and we simply can't have utility customer shareholders continue to be the insurers of this catastrophic risk, and we're encouraged that the legislature seems to recognize it and setting up 254. Sorry for the PhD dissertation there, but you hit on such an important topic, Shahriar.
Shahriar Pourreza: No, no, it's helpful. And then just, Pedro, really lastly for me quickly. I mean, obviously, '26 seems to be a pretty big inflection year for the California utilities. And I know one of your peers in the state is talking a little bit more on capital allocation depending on what could be the outcome of Phase 2, i.e., buybacks, dividends, returning more to shareholders, looking at how they're deploying capital in the state. I guess, how do you -- where do you stand around that, given how binary '26 could be?
Pedro Pizarro: Yes. I'll turn to Maria in a second here, but let me just start by saying, above all, and this is really an important part of the messaging for Edison and I think for our peers as well. This is ultimately much more about customer cost than anything else, right? The weakening of financial health, which you mentioned some options here, one of our peers has mentioned here. But ultimately, this is really about how do we maintain healthy balance sheets and importantly, healthy credit ratings because the cost of debt is borne by customers. And so as we engage with legislators, we are laser-focused on that customer impact as being the reason or one of the key reasons in addition, obviously, to public safety to reforming how the state addresses its catastrophic risk. Maria, do you want to talk?
Maria Rigatti: Sure. So I think, first, I would say, Shahriar, we've always taken a very measured and efficient approach to how we capitalize the business. You've seen that over the course of the last 5 or 6 years where we went down the path of using hybrid securities as opposed to issuing common equity at times when it would have been more value destructive perhaps to do the latter. I think the other thing to say is we find ourselves in a somewhat different position. We have no equity issuances in our forecast at this point. We are looking at cost-efficient opportunities to take care of the holding company hybrids. So we'll be going down that path. And also, frankly, we have been returning capital to shareholders for the past several decades with an increasing dividend. We're still targeting our 45% to 55% payout ratio. We have a lot of confidence in our forecast, and so we have a lot of confidence in that. So I think you'd find our company in a slightly different position.
Operator: The next question comes from Anthony Crowdell with Mizuho.
Anthony Crowdell: I just wanted to follow up on Nick's question earlier on the $0.10 related to the preferred equity. It seems that it's -- I don't know if you're calling it earlier or expected earlier financing. Was it not contemplated in like the '26 and '27, '28 forecast when you previously issued that a financing on their maturity, meaning that if they -- if you waited until when they actually matured, it was getting absorbed into the 2026 and '27 guidance, whereas now by pulling it forward, it's hurting '25, but yet '26 and '27 are not going up.
Maria Rigatti: Frankly, Anthony, we were taking a look at a lot of options before as well. The fact is that with the TKM settlement earlier this year and the securitization and the Woolsey settlement pending and a subsequent securitization there as well, we find ourselves maybe with more options. Some of those options introduced potentially having to write-off the deferred financing costs. Yes, if we were going to go down the path of refinancing in any event, you would get them in the year in which the event occurred. But if we were just going to continue them on, then there wouldn't have been anything there to write-off. So it does very much tie to the success we've had around some of the regulatory proceedings this year, the certainty that we've gotten from them and the ability to introduce these additional options when we consider the preferred as a holding company.
Operator: The next question comes from Paul Zimbardo with Jefferies.
Paul Zimbardo: The first one I was going to ask, I know you had one of the comments, and I appreciate the frequently asked questions. How would you describe the linearity beyond 2025 of the EPS trajectory? I know it's been a little bit lumpy in the past, but thinking without rate cases in between, it would be a little bit more linear. So if you could give some color on that, it would be appreciated.
Maria Rigatti: Sure. So we will be giving our 2026 guidance on the Q4 call. That's our typical practice. But I can share a little bit more with you about the process that we have and really what's underscoring our very strong confidence in the 5% to 7% growth rate. So I think about the GRC as the frame for the entire 4-year process. And now that we have that final decision in hand, we know the total amount of work that we have to accomplish over that 4-year period. But frankly, annually, we always go through a very detailed planning process to develop the work plan and how we will execute on each piece of the process. And we have to consider a lot of different things. We have to consider resources. We have to consider operational priorities, timing of the work. All of those can introduce some amount of input and structure around our guidance on a go-forward basis. So we are looking at that right now. We have the GRC in hand, but our detailed planning process has not started or it's just recently started underway in -- now that we have the GRC decision in hand. And so we will be providing more of that detail in response to your question on the Q4 call, but it certainly underscores our confidence in the overall 5% to 7% EPS CAGR.
Paul Zimbardo: Great. And the other one I had was just on the credit profile. I think the commentary was solidly within that FFO to debt range. But just with the benefit of the enhanced recovery you're getting on the legacy fires, is it fair to think you're trending towards the upper half of that range over time?
Maria Rigatti: So we're certainly comfortable in our range, and we're looking at our various financing options, and we'll come back to you once we decide on those. And we can -- we will still, though, always be comfortably in our 15% to 17% range.
Operator: The next question comes from Carly Davenport with Goldman Sachs.
Carly Davenport: Pedro, maybe going back to some of your comments earlier on customer costs. Just wanted to ask on the cost of capital filing in that context of customer affordability and the rhetoric in California. Just curious your latest temperature on the outcome there relative to what you have baked into the financial plan that you've laid out here.
Pedro Pizarro: Yes. I'll start, Maria, you have more there. We're still in that process. You've seen our filings, the range that we provided, which is higher than the current 10.33% -- 10.75% to 11.75%. That's based on our outside experts testimony of looking at the overall risks that SCE is encountered with right now and trying to have fair compensation on that. We will let the process finish its way through. And hopefully, we'll have a decision by the end of the year as has been typical with cost of capital proceedings. Maria, anything you would add there, though?
Maria Rigatti: Yes. So Carly, I completely agree with Pedro. We made a very strong showing. The proposed decision based on the schedule is due in November. So we are watching for it. All of the procedural aspects of the proceeding are completed. In terms of your question about -- so how does it roll into our forecast, like many other variables, we run a range of scenarios around the current ROE. So we have a number of things baked in, and we test a wide range of outcomes. So I think that's how it really fits into the range of 5% to 7% EPS CAGR through 2028.
Carly Davenport: Got it. Okay. Very clear. And then maybe just one on the updated capital plan here. It looks like the FERC piece come down a little bit on the margin. Just curious what's driving that? And then your current views on the upside opportunities for FERC investment as you manage some of the moving pieces at the state level?
Maria Rigatti: Sure. So the FERC piece came down very slightly over the 4-year period. A lot of that just has to do with timing of when the work will be done. So nothing really to read into that. And then on your second question, could you just please repeat that one more time?
Carly Davenport: Yes. Just kind of as you think about managing the broader capital plan in the context of maybe the supportiveness of California, some of these investments at a CPUC level, to what degree FERC could sort of be a lever to lean into a little bit more there on the upside?
Pedro Pizarro: Carly, one way to think about it is, it's a pretty good delineation between which investments are CPUC jurisdictional and which ones are FERC jurisdictional. And so the CPUC jurisdictional are the ones that we just got approval for in the SCE GRC. In addition, we have other proceedings underway like the next-gen proceeding or the next-gen ERP or the smart meter proceeding, AMI 2.0. But maybe I'll help Steve Powell, the CEO of SCE, just touch us a bit on just a broad transmission plan at CAISO and how that feeds the potential for FERC level investment over the next few years.
Steven Powell: Yes. So the Independent System Operator, CAISO has put out -- or puts out 20-year plans to show the long-term opportunities for transmission investment in the state. The most recent one pointed to $45 billion to upwards of $55 billion of potential investment in projects over a 20-year period. They then translate that down to 10-year plans that get rolled out each year. And so you've seen over the last number of years, us get quite a number of incumbent projects as well as bid and win a competitive project. And so as I look forward, kind of the load growth that we're seeing, especially in the 10- to 20-year period is going to continue to drive the CAISO process to create more transmission opportunities. And so we want to continue to position ourselves to be the right incumbent provider to build on the existing network, which is oftentimes the most effective way to get the reliability projects as well as the policy projects built, but also continue to position ourselves for those competitive projects where there's new lines that are needed to be established. And we've shown our ability to go in and win projects, and we expect to continue to participate in competitive opportunities in the CAISO portfolio going forward.
Operator: The next question comes from David Paz with Wolfe.
David Paz: This is somewhat related regarding the SB 254 CapEx that's ineligible for an equity return, do you anticipate backfilling that roughly? I think it's $2 billion -- $2.3 billion of CapEx that's not in your '25 to '28 plan with other programs. Is that with the next-gen and with the other things? Or should we anticipate there being something else?
Maria Rigatti: So maybe let's clarify a little bit what's in the CapEx plan that's in the investor materials today as well as what's in the rate base. So if you recall, under SB 254, the CapEx that we're talking about is Wildfire Mitigation that is approved post 1/1/26, so this next upcoming year. In our capital plan, we have included some of the -- we have included all the CapEx that we expect to spend through 2028 that is going to be subject to that. And we have about $500 million to $700 million of CapEx on the CapEx slide that are related to the SB 254 capital. When you move over to our rate base slides, we are not including that when we convert CapEx into rate base. So you can use the rate base slides as sort of the foundation for your modeling in terms of the amounts on which we can earn equity return. The balance of what is under SB 254. So the rest of that CapEx would be spent then after this rate case cycle. So as we go into the 2029 rate case cycle, we'll be taking a look at how that all factors in. But the numbers that we provided in the materials today should be pretty clean in terms of how you would use them to look at our growth rate.
David Paz: Okay. That makes sense. But just to understand for modeling purposes, that remainder, so not what's in your slides today, but the rest should we anticipate that being spread out over the '29 to '32 GRC or upfront just based on the language or your interpretation of SB 254.
Maria Rigatti: So we would expect that CapEx to be spent after 2029. We don't have those -- that GRC filed yet. So we'll be working on that as we go through it. And whenever we do have that available in terms of that piece of the forecast, certainly, we would make it clear as to what pieces are in rate base and what pieces are not.
Operator: The next question comes from Aidan Kelly with JPMorgan.
Aidan Kelly: Yes. Just one question on my end. Could you just touch a little bit more on the near-term annual 1% to 3% sales growth a bit more? Just curious to hear any detail around the breakdown between the electrification, residential growth and C&I customers?
Pedro Pizarro: I'll turn it over to Steve again from an SCE perspective.
Steven Powell: Yes. So in the near-term, in terms of the customer demand growth that we're seeing, it really is a mix across those ones that you mentioned. So we certainly point to electrification and primarily around vehicles and the continued kind of strong growth in vehicle -- new vehicle purchases that are 0 emissions is really bolstering that transportation electrification load growth. It's probably about 1/3 of it is the driver in there. We continue to see residential new home starts and new residential development happening across our territory. And so that's another key piece. And then the commercial industrial load growth, and that's a breadth of different types of industries, whether it's defense, manufacturing, down to logistics are all ones that we're seeing -- getting a lot of requests. I know there's a lot of conversations around data centers and that load growth. For us, it's not a big driver like many other places, but we see a moderate amount of requests coming through there as well that kind of just blends in with the rest of our commercial industrial growth. So it's a pretty balanced set of load that we would see over the next 5 years where kind of we project that 1% to 3%.
Pedro Pizarro: And we really like the durability of having that kind of diverse profile as opposed to relying just on data centers.
Operator: Thank you. That was our last question. I will now turn the call back over to Mr. Sam Ramraj.
Sam Ramraj: Thank you for joining us. This concludes the conference call, and have a good rest of the day. You may now disconnect.